Operator: Greetings and welcome to Postal Realty Trust Third Quarter of 2022 Earnings Call. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the prepared remarks. As a reminder, this conference is being recorded. I would now turn the conference over to your host, Mr. Jordan Cooperstein, Vice President of FP&A, Capital Markets. Please go ahead.
Jordan Cooperstein: Thank you. Good morning, everyone and welcome to the Postal Realty Trust’s third quarter 2022 earnings conference call. On the call today we have Andrew Spodek, Chief Executive Officer; Jeremy Garber, President; Robert Klein, Chief Financial Officer; and Matt Brandwein, Chief Accounting Officer. Please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements that are not historical facts, and are considered forward-looking. These forward-looking statements are covered by the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those described in the forward-looking statements, and will be affected by a variety of risks and factors that are beyond the company’s control, including without limitation. Those contains in the company’s latest 10-K and its other Securities and Exchange Commission filings. The company does not assume and specifically disclaims any obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Additionally on this conference call, the company may refer to certain non-GAAP financial measures, such as funds from operations, adjusted funds from operations, adjusted EBITDA and net debt. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP measures in the company’s earnings release and supplemental materials. With that, I will now turn the call over to Andrew Spodek, Chief Executive Officer of Postal Realty Trust.
Andrew Spodek: Good morning and thanks for joining us. We are pleased to share that Postal Realty had a strong third quarter and we are well positioned to continue executing on our goal of creating and growing shareholder value. Postal Realty business model is anchored with stable cash flows supported by our credit tenant and is further enhanced with organic growth from our short term lease duration, which allows for the continual mark-to-market of rents. With minimal exposure to variable rates, low leverage, and no notable debt maturities until 2026, our balance sheet is ideally situated to continue executing our growth strategy. We continue to consolidate this highly fragmented market through sourcing accretive acquisition opportunities, particularly core last mile and flex property, while maintaining our conservative leverage ratios. In the third quarter, we completed approximately $21 million of acquisitions, bringing our year-to-date value to $109 million, already achieving our target that at the beginning of the year. As we discussed last quarter, we have been seeing the market slowly adjust to macro concerns as cap rates try to find higher footing to close the gap between buyers and sellers. In the third quarter, we targeted higher cap rate transaction, which impacted volume relative to prior quarters. This will likely continue into the fourth quarter and we remain well positioned to capitalize on attractive opportunities as they emerge. We are the largest owner, manager and consolidator of the Postal Services’ Irreplaceable Logistics Network. However, we are still in the early innings of our growth story and have plenty of runway ahead. Our management team has over 30 years of cycle-tested experience and a strong network of relationships built over time, which we believe are meaningful differentiators. We are encouraged by both our internal and external growth initiatives and will continue to be prudent stewards of capital and deploy it in accretive and appropriate manner to drive growth in this dynamic environment. I’ll now turn the call over to Jeremy to discuss our operating metrics.
Jeremy Garber: Thank you, Andrew. As we like to remind our investors, our tenant has historically made all of its rent payments on time throughout all economic environment. Consistent with quarters past, we collected 100% of our rents in the third quarter. This predictability of cash flow is a significant differentiator for Postal Realty. In the third quarter of 2022, we produced a 29% increase in rental income from the third quarter of 2021, reflecting a strong existing portfolio, as well as contributions from the accretive acquisitions made over the last 12 months. We have maintained a 98.8% historical weighted average lease retention rate over the past 10-plus years, which reflects the strategic importance of these properties to both the Postal Service and the communities they serve. This high rate continues to validate our due diligence process and identifying locations that are vital to the Postal Service. Year-to-date, we have not received any notices of termination by the Postal Service. In the third quarter of 2022, we acquired 66 properties for approximately $21 million, excluding closing costs. These acquisitions added 170,000 net leasable interior square feet to our portfolio, inclusive of 61,000 square feet from 41 last mile properties and 109,000 square feet from 25 flex properties. Subsequent to quarter end and through October 26th, we have acquired seven properties for $5.9 million. We placed an additional 10 properties, $4 million on these definitive contracts. I’ll now turn the call over to Rob to discuss our third quarter 2022 financial results.
Robert Klein: Thank you, Jeremy and thank you, everyone for joining us on today’s call. Touching upon what both Andrew and Jeremy discussed. We are pleased to deliver the results of another productive quarter as we remain well positioned to capitalize on external growth opportunities. For the third quarter, we delivered funds from operations or FFO of $0.25 per diluted share, and adjusted funds from operations or AFFO of $0.26 per diluted share. We have maintained a conservative balance sheet, and as of September 30, 2022, we had approximately $189 million of gross debt with a weighted average interest rate of 3.63% and only $31 million of floating rate debt outstanding on our revolver. Inclusive of all interest rate hedges, approximately 84% of our debt was at a fixed rate and our weighted average maturity was 5.4 years. As Andrew highlighted earlier on the call, we have no notable debt maturities until 2026. Our liquidity position is strong with $119 million undrawn on our revolver, $225 million of accordions on our facilities, and approximately $5 million of cash. For the third quarter 2022, net debt to annualized adjusted EBITDA was 5.3 times and net debt to enterprise value was 34.6%, well below our leverage targets of 7 times and 40%, respectively. Recurring CapEx for the third quarter was under $0.04 per square foot and based on timing of projects, we anticipate it will be closer to $0.06 per square foot in future quarters as we continue to invest in our assets. Cash G&A in Q3 came in below our prior guidance due to cost savings as well as intentionally spreading out some costs into 2023. Our guidance still remains that cash G&A as a percentage of revenues will continue to decline on an annual basis and we believe Q3 is a good run rate for Q4. Our Board of Directors has approved an increase in our quarterly dividend to $0.2350, which annualized to $0.94 per share, a 4.4% increase from third quarter 2021 dividend. This continues our history of increasing the dividend every quarter since IPO. We believe Postal Realty is uniquely positioned for resilience through economic climate, and therefore, we remain confident in our ability to execute our strategy. Our conservative balance sheet, market-tested and experienced management team, predictable cash flows, and a history of 100% rent collections provide a steadfast foundation that will allow us to continue to deliver value for our stakeholders. This concludes our prepared remarks. Operator, we’d like to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Rob Stevenson of Janney.
Rob Stevenson: Good morning, guys. Across all real estate asset class, it seems like the smaller investors have been the last to realize that prices have changed and unless facing some sort of event seem to have pulled the assets back from the market waiting for debt and everything else to stabilize. You know given that there’s a bunch of smaller players in your business, how are you guys seeing the transaction market today in terms of availability of assets out there relative to past quarters as well as ability to – for the sellers to be reasonable in terms of market pricing?
Andrew Spodek: Hey, Rob. Yeah so as everybody knows, we’re kind of living through a very strange time. The assets are available, we’re just not seeing sellers change their expectations for where pricing is supposed to be today relative to where it was a couple of months ago. And so we are patiently walking the sellers up, trying to get cap rates to where we want to execute on them. You know the good news is that, we’ve always bought a different range of different asset types and asset sizes and we’ve always stated that that the range of cap rates in our asset class is wide. And so thankfully, we have the ability to execute at the higher end of our range, which is what we’ve been trying to do.
Rob Stevenson: Okay. And then we – recent conversations with the Postal Service, how willing are they and their representatives to acknowledge you know the inflationary environment and the need for potentially higher rent increases on renewals going forward?
Jeremy Garber: Yeah. Hey, Rob. It’s Jeremy. So we continue to have productive discussions with the USPS on our 68 leases that are expiring in 2022 and as we shared in prior calls you know we’ve been focused on introducing a new concept of an inflationary adjustment, we’re confident we’ll achieve a result that will allow us to continue to deliver our annual NOI growth of 2% to 3%.
Rob Stevenson: Okay. And then last one for me, Rob, where is your best source of financing today when you look forward, if you know there’s a portfolio that comes to market that you guys want to bid on, et cetera? Where are you seeing the best data availability and pricing for you guys today?
Robert Klein: Het, Rob. So it’s – yeah I think it’s a mix of everything you know we’re fortunate to have access to capital in multiple ways in the equity markets you know through an ATM when active through regular common offerings, and then through operating partnership units. And on the debt side, you know our credit facility is at a good spread, a good rate has a lot of availability and we can turn things out when the swap rates are attractive or we can keep afloat when we want. But as you know we’ve really tried to maintain a balance sheet that’s higher proportion of fixed rate to be conservative. So, I feel like we’ve got access across the Board. And as you know, the market is super dynamic. So rates move up and down a lot [technical difficulty] and so does our share price and so does our pipeline. So you know, it’s really a day-to-day game, and we’re lucky to have access to all these sources.
Rob Stevenson: Okay. Thanks, guys. Appreciate the time.
Andrew Spodek: Thank you.
Operator: The next question comes from Tony Paolone of J.P. Morgan.
Unidentified Participant: Good morning, guys. You have [inaudible] on the line for Tony this morning. I guess my first question, I’m just a little curious if you could speak on acquisitions and I guess current market conditions if you guys have seen buyers are less willing to maybe accept OP units rather opting to trade rather just for cash instead?
Andrew Spodek: Appreciate the question. So, we actually see sellers still very interested in the operating partnership unit currency. We haven’t been very proactive in using that currency over the past quarter, just given where our stock price was trading, but the interest in the currency is still very much there.
Unidentified Participant: Got it. Okay, thanks. And I guess, given where inflation is, should we expect maybe a drag from the operating expenses, the company is responsible for on your properties?
Robert Klein: It’s a good question. And you know, look, it’s something everybody’s facing, whether it’s with CapEx or operating expenses, but you know, because of the short-term duration of our leases, we do have the ability to mark those rents to market which overcomes the operating expense increases. So you know net-net I don’t see it being a drag, but it’s definitely more challenging than it was in prior years.
Unidentified Participant: Okay. Thanks, guys. Appreciate the time.
Andrew Spodek: Thank you.
Operator: The next question comes from John Kim of BMO.
John Kim: Thanks. Good morning. Year-to-date you so far stayed away from acquisitions in industrial, I was wondering if you could talk about pricing, has it helped you know more studying industrial lower cap rates versus the other two appetites that you look at?
Andrew Spodek: Yeah. So in the current environment, we really haven’t been focused on the industrial assets, the market for those assets has been pretty frothy and even though the cap rates on some of the deals that we have looked at in that particular asset class have moved, they’re still at the lower end of the range, if not be lower range. And in the current environment, those are not deals that we’re looking to do. Thankfully, we’ve exceeded our target for the year and we’re really not looking to do deals unless it’s priced right and unless we believe that it’s a good fit for our portfolio in the current environment.
John Kim: In this current environment, our portfolio premium still there or our performance trading now on par with individual asset sales or even potentially at a discount?
Andrew Spodek: So, in general, the larger owners are the most – more sophisticated sellers or the owners of larger assets are at least we’ve seen less willing to adjust to the current environment. So those assets and those portfolios are typically trading at the lower end of our range.
John Kim: Okay. And my final question [technical difficulty] on this impact of inflation you know I guess you were saying that you were talking about some kind of inflation adjustment potential in lease renewals coming up, but also maintained you know 2% to 3% organic growth. I was just wondering if there was a potential for there to be upside in that rental number to more than offset inflationary pressures that makes sense right.
Jeremy Garber: You know as we go through our lease renewals, we spend time reviewing markets and comps and trying to achieve on a lease rate – rates that allow us to overcome the current environment. The inflationary adjustment is just an additional element that we’re trying to introduce here, just given how things have really ramped up over the past you know, call it, year and a half. So that’s why we’re confident, we’re going to achieve an adjustment over market rents which will allow us, as I described, to continue to deliver the NOI growth that we’ve historically delivered.
John Kim: And would that be CPI based on local geography? Or would it be capped? [Technical difficulty] just wondering that is there any more details you can share?
Jeremy Garber: Yeah. At the moment, that conversation with USPS is live, we haven’t agreed on how the adjustment is going to work. So I don’t have any more information to give you at the moment.
John Kim: Okay. Thank you very much.
Andrew Spodek: Thank you.
Operator: The next question comes from Barry Oxford of Colliers.
Barry Oxford: Great. I know you guys don’t want to give too much more information on the adjustments – inflation adjustment leases, but typically, doesn’t the government want kind of a flat rate for five years? And so, if you were to have an inflationary adjustment, do you think that that rate might move year-to-year? Or would you do some sort of kind of blended rate, so it would be fixed for five years?
Jeremy Garber: Yeah, again, Barry it’s Jeremy. You're right –
Barry Oxford: Yeah.
Jeremy Garber: Historically that these have been five year flat leases. You know I think we’re probably going to achieve a similar outcome with that adjustment embedded. But again, I – you know we haven’t concluded the conversations and they continue to be fluid. So as soon as we have a definitive agreement, we will share that.
Barry Oxford: Okay. Great, great. And another quick question on the G&A line item as far as how we should think about that. G&A was a little lower, not a lot lower, but a little lower here with 3Q versus 2Q. How should we think ex non-cash comp? How should we think about G&A going forward into ‘23?
Robert Klein: Barry, good question and I think I alluded to it in the prepared remarks that you know we believe that Q3 is a good run rate for Q4 in that respect. But I think your question is more about kind of how does this roll forward? –
Barry Oxford: Right. Correct.
Robert Klein: You know earlier this year – yeah so earlier this year we’ve given some guidance that our cash G&A was projected to increase by $2 million, $2.5 million based on where we reported and based on that guidance, I’d given the new projections probably closer to an increase of $1.5 million over last year. That puts us $500,000 to $1 million lighter than our initial guidance earlier this year for 2022. And some of that’s due to reduction of expenses in ’22, but most of it’s really projected to be spent throughout 2023 as long as the environment is conducive to it.
Barry Oxford: Got it. Okay, thanks – thanks for that caller. That’s all I have, guys.
Andrew Spodek: Thanks. Thanks, Barry.
Barry Oxford: Yep.
Operator: The next question comes from Jon Petersen of Jefferies.
Jon Petersen: Great, thank you. I think Rob earlier you were asked about you know potential sources of capital and you mentioned the ATM you know when that’s open to you. So, maybe if we could talk about that from two different angles like you know, today’s market pricing like what – you know what is the stock price – you know what kind of stock price do you have to see where equity or ATM issuance makes sense to do acquisitions or maybe looking at it the opposite way you know where do cap rates need to move to, to make today’s stock price makes sense in terms of new ATM issuance?
Robert Klein: Yeah. As you know, we always want our stock price to be higher and the higher the more attractive, but we – it’s a content analysis, we do have where a pipeline is. And you know when we issue equity when we use that we’re looking for it to be accretive to our acquisition pipeline and the use of capital. And so that’s it’s dynamic, but even at today’s prices and the guidance that Andrew has given for kind of where cap rates are and where we’ve executed, we can still do acquisitions in an accretive manner.
Jon Petersen: Okay, got it. And then maybe if I could just, you know, on the GNA, I think Rob in your prepared remarks you mentioned you spread some G&A costs into 2023. Can you give us just some more details on what some of those costs were that you spread into ‘23?
Robert Klein: You know earlier this year, we had talked about you know some of the increase this year being related to some projects internally, our infrastructure, IT, some hires, et cetera. It’s a little bit of all of that you know that gets pushed next year it’s a blend – a blend of that you know and some of these projects that we’re using to harness information and to really improve ourselves internally. We’ve done some of that this year and there’s some of it that we – we’re planning to do next year.
Jon Petersen: Okay. All right, that’s great. Thank you so much.
Andrew Spodek: Thanks.
Operator: We have a follow-up question from Rob Stevenson of Janney.
Rob Stevenson: My questions have been answered, thank you.
Operator: Thank you. That does bring us to end of our question-and-answer session. I would now like to turn the conference over – back to Mr. Andrew Spodek for closing remarks.
Andrew Spodek: Thank you. And on behalf of myself and the entire team, thank you all for your continued support and for taking the time to join us today. We look forward to connecting with you over the coming months. Have a great day, everybody.
Operator: Thank you, ladies and gentlemen. That concludes today’s teleconference. Thank you for your participation and you may now disconnect your lines.